Operator: Good morning. My name is Jody and I will be your conference operator today. At this time, I would like to welcome everyone to the Myers Industries' Third Quarter 2017 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Monica Vinay, you may begin your conference.
Monica Vinay: Thanks Jody. Good morning. Thank you for joining us today. I am Monica Vinay, the Vice President of Investor Relations and Treasurer at Myers Industries. Joining me today are Dave Banyard, President and Chief Executive Officer; Matteo Anversa, Executive Vice President, Chief Financial Officer and Corporate Secretary; and Kevin Brackman, Chief Accounting Officer. Earlier this morning, we issued a news release outlining the financial results for the third quarter of 2017. If you have not yet received a copy of the release, you can access it on our website at www.myersindustries.com, it's under the Investor Relations' tab. This call is also being webcast on our website and will be archived there along with a transcript of the call after this event. Before I turn the call over to management for remarks, I would like to remind you that we may make some forward-looking statements during the course of this call. These comments are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements are based on management's current expectations and involve risks, uncertainties, and other factors, which may cause results to differ materially from those expressed or implied in these statements. Further information concerning these risks, uncertainties, and other factors is set forth in the company's periodic SEC filings and maybe found in the company's 10-K filing. I'm now pleased to turn the call over to Dave Banyard.
Dave Banyard: Thanks Monica and good morning everyone. Thank you for joining us. We're going to start on slide three with an overview of our third quarter 2017 results. We're very pleased with our performance in the quarter. We generated $9.7 million of free cash flow and our operating improvements are really yielding this cash flow from continued working capital and capital spending discipline. Our niche market strategy is delivering results, double-digit year-over-year growth in our consumer and food and beverage markets. Just a little color on that, while some of that consumer increase is due to some of the storm events that we saw in the quarter, there's also a big chunk of that that came from strong growth in our food processing business as well as our Ag business. So, we're very pleased about that. We continue to see positive momentum in our vehicle market, driven primarily by our RV business. It showed high single-digit growth in the quarter and that business continues to execute very well and deliver for their customers in a market that's also growing very nicely. Positive sales mix in our lean initiatives which that are driving gross margin expansion year-over-year, up 250 basis points and the highlight of our cash flow here is we're continuing to pay down debt and as you can see we're down $31.5 million year-to-date in debt pay down and if you add the dividend we've been paying that, we've delivered back to shareholders over $40 million in cash year-to-date. On the challenges side, our distribution segment continues to have some challenges although it was a better quarter and we're seeing some momentum gaining there. Our sales increased third quarter over the second quarter, down mid-single-digit year-to-date and I'll highlight a big -- the majority of that decline was due to the exit of low margin business in our Patch Rubber business. On the Myers Tire Supply, net sales were down a little over 1% and I'll highlight here that if you factor in the impact that we had and we did have some impact in Florida and Eastern Texas from the storm events, if you factor that in, the Myers Tire Supply business was flat for the quarter. As I mentioned patch Rubber, we had a fairly large decline in revenue from exiting of the low margin business and I think you'll see as we go into the profitability by segment later on, its delivering as we expected where our profitability continue to improve. Our pricing model, lean initiatives are continuing to produce positive results in this segment, so we're looking for an improving trend as we move forward into the fourth quarter here. We also had some material cost increases in the quarter, primarily driven by the storm event -- that same storms. We feel that that's a transitory impact to us. We were able to mitigate a lot of it through price and we see that it's not as big of an impact as we've seen in previous years in storm events and we think the industry handled and is prepared for those things very well. So with that overview, I'm going to now turn it over to Matteo Anversa to go through the specifics.
Matteo Anversa: Thanks Dave and good morning everyone. If we turn to slide four, I will walk you through an overview of our third quarter performance on a GAAP basis and as always, all the numbers in the presentation reflect continuing operations. As you can see, starting from the top left side of the page, net sales increased 8.6% to $144 million compared to $132.7 million of the third quarter of last year. Now, if we exclude the impact of foreign exchange, the increasing sales year-over-year was 8.1%. The increase was primarily the result of higher sales in the food and beverage and consumer market, partially offset by a decline in the auto aftermarket and industrial. Gross profit margin increased 120 basis points year-over-year due to higher sales volume, positive sales mix, and cost savings coming from our strategic realignment. Higher raw material cost were more than offset by the price gains in the positive sales mix. Additionally, restructuring expenses resulted from the strategic realignment in our material handling segment were $1.9 million in the quarter. At this point, we believe the strategic realignment is mostly completed and we expect -- expecting to be fully wrapped up by early 2018. As a result, the GAAP diluted earnings per share were $0.11 compared to $0.01 in the third quarter of 2016. If we turn to slide five, we'll provide you an overview of the key variances on an adjusted basis. Adjusted gross profit margin was 29.6% in third quarter compared to 27.1% of last year, corresponding to an increase of approximately 250 basis points. The increase compared to last year was due to the higher sales volumes, the positive sales mix, and restructuring in real estate. As I just mentioned, the price actions combined with a positive sales mix more than offset the material cost increases both during the quarter and year-to-date. Adjusted SG&A was $35.6 million compared to $32.2 million of last year. The year-over-year increase was the result of higher incentive compensation cost, which reflect our improved outlook for the year that Dave will talk about later in the presentation. Those costs were partially offset by cost decreases, which were in part the result of the cost-out actions taken last year. As a result, adjusted operating income increased by $3.1 million or 80% and adjusted diluted earnings per share were $0.11 compared to $0.04 in the third quarter of last year. If we turn to slide six, I will walk you through the results by the two segments and starting from the left side of the page with material handling. Sales increased by $15.8 million or $14.2 million. The increase in sales of was driven primarily by the growth in the consumer and food and beverage market that Dave mentioned earlier. Consumer sales were higher due to the increased sales of fuel containers. As the team sector did an excellent job of meeting the heightened customer requirements during the hurricane season. Pricing actions and sales growth in our Americas business, which servers the RV and marine markets also contributed to the increasing sales year-over-year. Conversely, market softness combined with our focus on 80/20 sales initiatives, which includes as we discussed in the past the elimination of low margin products resulted in a decline year-over-year in our industrial market. Adjusted operating income in the segment increased $5.2 million to $9.9 million, which is more than double last year's adjusted operating income of $4.7 million. The increase was primarily the result of higher sales volume, positive sales mix, partially offset by net unfavorable raw material costs, and higher compensation cost related to the management incentive program that I mentioned earlier. If we turn to the right side of the page, distribution. Net sales declined by 6.5%. The decrease in net sales was primarily the result of the deliberate exit of our low margin product line in our Patch Rubber business. Net sales in Myers Tire Supply were down only 1% year-over-year and actually on a sequential basis, the distribution segment net sales increased 2%. During the quarter, the Patch Rubber business also had a large customer win in its niche highway marking tape product line and the business will realize the benefits of this win in the next few quarters. Adjusted operating income in the segment declined by $100,000 or 3%. The negative impact of the lower volume was mostly offset by the positive price and the favorable sales mix due to the exit of the low margin business. If we turn to slide seven, discuss the cash flow and the balance sheet. So, as Dave mentioned at the beginning of the presentation, we generated strong free cash flow of $9.7 million during the quarter and we added approximately $31 million year-to-date. Thanks to this performance, we have reduced our debt by $31.5 million year-to-date and lowered our leverage ratio of 2.6, in spite of lower four quarters of EBITDA compared to the end of last year. Additionally during the quarter, in spite of our material handling realignment project, we also successfully completed the disposition of one of our facilities. The proceeds from the sale of the facility were approximately $6 million, which helped us to further reduce our debt. Our continued focus on working capital contributed to the stronger cash flow. Working capital as a percent of sales in the quarter was 7.5%, which was slightly below the prior three quarters and nicely below our target of 9%. We successfully increased our accounts payable as we continue to negotiate better terms with our suppliers and we also pre-purchased some raw materials where possible to ensure that we could serve our customers in the aftermath of the hurricane season. CapEx spending in the quarter increased sequentially by $900,000 to $2.8 million and was higher than last year's CapEx by $1.9 million. Year-to-date CapEx is about $5 million compared to $11.5 million of the first nine months of last year. And the focus on our strategic realignment in the 80/20 sales initiative has resulted in lower capital expenditures during the year. Therefore we are lowering our CapEx estimate for the year to be now in the range of between $7 million and $9 million, which was below our previous estimate of $10 million to $12 million and below last year's spend of $12.5 million. We are aware that the current spending profile is a relatively low and as a result, we're expecting CapEx to be higher in 2018. With that, I will turn the call back to Dave to review the outlook and provide a strategic update.
Dave Banyard: Thanks Matteo. Let's switch to slide eight and I'll take -- walk through the 2017 revised outlook and strategic update. We're increasing our outlook. Our full year revenue, we now expect to be up low single-digits due to continued strong demand in our food and beverage and consumer markets and that's up from flat on our prior estimates. If you go to the right side, I'll walk through the five markets that we serve and talk a little bit about some of the color in each of those markets to explain why we're taking up our forecast. Starting at the consumer market, we obviously benefited from the storm activity in the third quarter, but you'll remember that that market has been very strong for us all year and we've executed very well in that, so that -- we obviously were helped a little bit more in the third quarter by hurricane activity, but we see that business continuing to grow and, in fact, we have very strong backlog for the fourth quarter as well in that business. In the vehicle market, this is we're expecting to be up high single-digits and it's driven primarily by our RV business. That market continues to be strong and on top of that, our team there has executed very well, particularly through the third quarter here and delivering to the customers in that market. The food and beverage, real nice story here, we expect that to be up high single-digits now. Really two main drivers to that. First one is in our food processing portion of the business, we won some new customers there, saw nice growth in the third quarter out of that, and expect that to continue. We've also, after three years of decline, are seeing the Ag market return more to a normal state here, which is resulting in really at the beginning of that season, but starting to see that growth in the third quarter and we're seeing that momentum continue through the fourth quarter here. And we expect that to continue on into next year. On the industrial side, we're expecting that business to be down low single-digits and that's primarily as a result of our -- as we're doing our operational realignment, we're also looking -- continue to look at all the product lines we have there making sure that we're only focusing on the best once that we have. And as a result of that, we've had some product line rationalization in that segment there. I think generally the market is growing and we're taking advantage of some of that. We have a good backlog at the moment. However we've eliminated certain product lines that are producing the output there. The auto aftermarket we expect that to be down mid-single digits. Again, as I said earlier the momentum is building here. It's not where we want to be but we think we're doing better. But I don't think we're going to be able to overcome the gap that we've built in the first half of the year. So better performance in the third quarter, we're expecting better performance in the fourth quarter as well but not enough to overcome as you will the hole that we built earlier in the year. Going back to -- over to the left side of the slide here. I'll go through the three portions of our strategic plan. We're making strong progress as highlighted number of times here with our niche market growth teams both on the food processing and the consumer side but also in the Ag markets, in our material handling side. Our pricing tools are in place at distribution. We're seeing very positive results from that through the third quarter. We expect that to continue and build as we go into the fourth quarter. Operationally as Matteo mentioned, our operational realignment is well underway and we completed a lot of the big heavy lifting if you will -- in the third quarter and we expect that to be largely completed by the end of the year a little bit few left -- last things to be completed in the first part of 2018. We're well on track to achieving the 10 million of savings that we expect in 2018. From the capital allocation side, We're very pleased with the cash flow that we're generating out of this business and what it's doing is it's allowing us to strengthen our balance sheet and build a war chest as we look at a very robust deal pipeline. I think we've positioned ourselves well to execute on this portion of the strategy. We're looking at a lot of different things in the pipeline from an M&A standpoint and we feel that the work we're doing driving cash flow in this business is really positioning us well for the future. So with that, we'll open it up to questions.
Operator: [Operator Instructions] Your first question comes from the line of Chris Manuel of Wells Fargo. Your line is open.
Chris Manuel: Good morning, gentlemen and thank you for the color. A couple of questions. First, I appreciate the we're still in 2017 but it sounds like Dave as you went through some of your end markets, you've seen quite a nice pick-up ending the year and particularly you noted that Ag this is kind of the beginning of the season. So if you could maybe give us some thoughts as you head into 2018 as I -- as you look across these units you talked about seeing momentum in both the segments that have been down in 2017. Could we in fact perhaps see all five of these segments positive next year or just kind of some you know how are you thinking about that?
Dave Banyard: Sure. Well, I'm going to refrain from giving you any kind of 2018 guidance here, but I will talk as I did mention the Ag market. It is the beginning of the season, so this is the time when you start building backlog and looking at how the season is playing out and the strength there. So I will highlight that and I think that's going to carry into the first half of next year which is the season typically picks up in the fourth quarter through the for -- you know mostly through the first quarter and then a little bit in the second quarter. And I think that's going to be as they were back to a normal state there and maybe even some growth in general. So I think that market is favorable for us. We've done a good job of maintaining those customer relationships through the downturn and continuing to serve those customers well and certainly we're well-positioned there. The rest of them I'm not going to comment now. We'll talk more at the next earnings release. Chris but I think you can read my commentary as such.
Chris Manuel: Well, the one area I did want to kind of maybe touch on a little was the distribution side or aftermarket component because you've done quite a bit of work there training and advancing the commercial efforts with sales. Just to understand your most of the way down the fall there are we in a spot where again, I appreciate you're not trying to talk about 2018, but we should start to resume all the negative stuff spin anniversary, I guess at this point we should start to see positive trends on that component?
Dave Banyard: I mean that's a fair comment that all of the negatives are anniversary, I mean there's still challenges. I'd say the challenges are you know the pockets are getting smaller and smaller so we can focus more on specific spots. But you're going to still see some we've -- the product line that we exited with Patch will continue to have some runway here for the next couple of quarters. But the MTS distribution cushion that the front facing portion of that segment, I think we're -- we've really narrowed down to some real specific stocks where we're still having trouble with there's momentum in other places that’s overcoming them.
Chris Manuel: Okay. One question for Matteo. With respect to I know you've been doing a lot of work with -- plain [ph] realtor, divesting and moving around different components within corporate owned real estate and facilities. I think, he has noted you got one done in the quarter and it brought in $6 million, what’s kind of an appreciating there's a lot of pieces but as you look at you've got lot to do there over the next I don't know 12, 18, 24 months, Dave could you give us a timeframe on how long you think it'll take to kind of do those things? And then B, what would you estimate you'd be able to reduce debt by from either sale leasebacks or exiting altogether or is it something that’s double-digit number in terms of millions or how should we think about that?
Matteo Anversa: Well, Chris, so we are at the beginning of the process. As you highlighted, we just sold one. It was a good transaction, it's worth almost $6 million, so that was positive. But I would add, I would not expect that all the others will yield to the same amount. We but -- just I would focus overall on the strategy that we have here which is really, we own today most of the facilities that we operate of we want to change that because we want to use some of the proceeds to lower our debt and then be ready to fire the bullets to invest in M&A activity when we are ready to do that. So that's the strategy is going to take as you said 12, 18 months at least. We have many facilities we're working on, but I think it's a little early for me to give you a range or a number on how much of this is going to really yield at the end of the project, but we are working on it.
Chris Manuel: All right. Thank you. Good luck.
Matteo Anversa: Thank you.
Dave Banyard: Thanks Chris.
Operator: [Operator Instructions] Your next question comes from the line of Adam Josephson of KeyBanc. Your line is open.
Unidentified Analyst: Hi, good morning. It’s actually Michael [indiscernible] sitting in for Adam. How are you all doing?
Dave Banyard: Hi Michael, good morning.
Unidentified Analyst: Just a couple of me, on cash flow. First, can you talk about why exactly you cut your CapEx guidance for 2017? And then, I think if I'm not mistaken your CapEx is only about 1% of sales this year, so do you think that's a sustainable level going forward?
Matteo Anversa: So, let me talk about a couple of things. I think, in order to understand I think the CapEx level of this year, we need to take into account the focus of the team, what the focus of the team has been this year which really we had a few initiatives lean, the material handling realignment and 80/20 sales initiatives. So, the team was mostly focused on these three key items which drove obviously or lower CapEx expenditure in 2017. I would also stress the fact that particularly for example, the lean, the team is doing a fantastic job in some product lines the team was able to increase the capacity just by working on the cycle time, working on the efficiency of the equipment rather than doing in the old way which would have been purchasing new equipment which also drives a depressed CapEx expenditure. So, I would say, we’re back to the second portion of your question. I think the CapEx level this year for this reason I just mentioned is pretty low. We are expecting CapEx in 2018 to be definitely higher and more probably in the range of the $10 million, $12 million that we are expecting to have in 2017.
Unidentified Analyst: Okay.
Matteo Anversa: But we will give you probably a better outlook on the CapEx when we talk in the next earnings call.
Dave Banyard: Let me add one piece here. I mean capital spending is driven by two things. One is capacity which is a function of productivity and two is new needs. You can also solve all of those problems with partners and so it’s really not appropriate for you to look at history to understand what our capital profile is moving forward. It's irrelevant frankly. So, we’re first of all with our main activities are getting much more efficient in productivity. So if you can measure productivity properly which we can and will prove that you don’t need as much capital. We’ve partners that can do ancillary things or even in some cases primary things that are not super important to your value proposition, you can use that as well. Those two things alone significantly reduce our capital needs. And then there's going to be things where we're inventing something new that is very unique and that we have do ourselves. And we're are going to spend capital on that, and you're going to see some of that this winter and that's the way it works. So, just using an academic ratio is not the way to look at our business.
Unidentified Analyst: Okay. That's helpful. And just one more on working capital, so you're obviously running below the 9% target. Can just talk about a much room you have on that front?
Matteo Anversa: Michael, I would say we're always -- we're big believers of continuous improvement. So, we always look at opportunities to be better, to negotiate better terms with our suppliers, payment terms, collect receivables earlier, avoid having past dues. So, this is a continues focus of the team. Now, if you look at -- which is one of the reasons why the team has done a fantastic job this year in working capital. I think if you look at where we are today, this 7.5% over sales, I don't think you will see a big step improvement compared to where we are today.
Unidentified Analyst: Great. That's all from me. Thank you.
Operator: There are no further questions in the queue at this time. I turn the call back over to Monica Vinay for final remarks.
Monica Vinay: Thanks Jody. Thanks everyone.
Operator: This concludes today's--
Monica Vinay: We got another call.
Dave Banyard: Chris?
Operator: Certainly. Your next question comes from the line of Chris Manuel of Wells Fargo. Your line is open.
Chris Manuel: I just wanted to ask one follow-up question. I'm sorry, I apologize. When you guys talked about a full pipeline and looking at different transactions and things of that nature. I know it's always difficult to handicap would be that precise. But do you feel that you've got activity or things that are reasonably in the horizon, i.e., next 12 month that you feel you can get something done? Or is it more exploratory at this point? I mean I know you put together kind of the team from the C-level suite. You rechanged a lot of the upper level management. So, you've kind of got the heavy lifting done. How we would we think about the opportunity over the next -- to get something across the finish line perhaps in the next 12 months?
Dave Banyard: Yes, Chris, I'll answer that. M&A is feast or famine? It's very lumpy. Timing can be short fuse or longer tail. I think we're actively participating. I wouldn't say it's exploratory in any sense. So, the market is very strong right now. It's sellers' market. So, you have to be careful from a pricing standpoint for sure. But we're looking at a lot of stuff. It's a very busy part of our activity level of right now and it's not just exploratory. There is some of that -- I mean, you build a funnel by exploring and trying understand certain targets in the market and learning their business and trying to understand whether it's a good fit, but there are a quite a few other activities that are more robust. Not all of them are going to play out. We have to evaluate each deal as it comes across. But if you're asking whether it's feast or famine, the market is feast right now. But of course, can also be profit risk. So, we're very -- you know me well enough to know that I'm very careful and conservative person and we're evaluate each one very carefully, but it is an interesting part of what we're doing right now.
Chris Manuel: Okay. That's very helpful actually. Thank you. good luck guys.
Matteo Anversa: Thanks Chris.
Operator: Your next question comes from Chris McGinnis of Sidoti & Company. Your line is open.
Chris McGinnis: Good morning. Thanks for taking my questions. You may have gone through this. I've been jumping on different -- couple of different conference calls. Could you just maybe talk a little bit about the strengths in the quarter on material handling? And was it stronger end market related new product offerings. Can you maybe just dive into that? Again, sorry if have already asked this question.
Dave Banyard: No, it's a slightly different way of framing it than others have asked, so not a repeat, Chris. The -- there is some market strength. I'll go through. So, it's not -- none of the -- the strength you saw in the quarter was new products. We haven't launched anything yet this year that qualifies for that. What I would say is in the vehicle markets, the RV market is very strong right now, where I think we're winning there as if our operations there are performing very well and these are customers that require -- they don't carry a lot of inventory, so they require a lot of just-in-time type of deliveries. And our team is than a phenomenal job. And I think we're gaining share because of that. In the food and beverage markets, it's tale of two things. It's -- on the food pressing said, the team has done a wonderful job of seeking out new opportunities and winning those and so we've added some customers. So, that's good old-fashioned selling right there and targeting and that's with existing partners that we have -- that we think we have good and way of with. The Ag market is bit of a market rebound. I think the farm income is projected to be slightly up this year, not a V-shaped [ph] recovery by any stretch, but I think that's market returning to normal. And we are the thing premium packaging proceeds and so when the market starts coming back, our customers come back and so that's been helpful for us as well. And then, lastly, our consumer market, the portable fuel containers, we did see some life in the quarter from storm events that occurred in Florida and Eastern Texas, but that business has also been a phenomenal job of gaining share this year. So, their momentum has been going strong all year. We do have -- again, some of the lift we saw on third quarter was from that, but it's not the whole story. That business continues to perform really well just from a pure commercial execution standpoint and we see that momentum continue in the fourth quarter.
Chris McGinnis: Okay, great. And then last question and you may have touched on this. But just outsourcing initiative, can you just maybe us give us an update where you're at and how you're kind of seeing that fit into the -- your playbook over the next two years?
David Banyard: Sure. It's -- we largely have completed big chunks of that quarter. And essentially the strategy is there to find people who are better at some of the basic things that we do than we are. Sometimes that's because that capital equipment that we don't have, we don't want to have. Sometimes that's just because they have some expertise that we don't have and sometimes it's purely because the operation itself is a fairly basic one and it's not something we need to be doing inside of our building. And so we found a number of great suppliers through that process. And we have given each of them -- strategy supply chain you don't want to have your eggs all in one basket, so to speak, but you want to have good partnerships. So, our suppliers have great opportunity to continue to grow their business with us if they perform. So, far that's been a positive. We've seen some good performance out of most of them. And that's the relationship we want to have with them is that we use them as great external partners and allow them to grow their business while we're also growing. So, it's -- I think it's a mutually benefiting type relationship and we're seeing that with some very, very good suppliers.
Chris McGinnis: Great. Well, thanks for taking my questions. Congrats on a good quarter and good in Q4.
David Banyard: Thanks Chris.
Matteo Anversa: Thank you.
Operator: There are no further questions in the queue at this time. I turn the call back over to Monica.
Monica Vinay: Thanks Jody. This concludes our call for today. Thanks everyone for joining us and for interest in Myers Industries. As a reminder, a transcript of this call will be available on our website immediately after this event. A replay will also be immediately available via webcast or call. Details can be found on the Myers Industries website under the Investor Relations tab. Thanks and have a great day.
Operator: This concludes today's conference call. You may now disconnect.